Operator: Please standby, your program is about to begin. Excuse me, everyone, we now have Sean Reilly and Jay Johnson in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the Company's presentation, we will open the floor for questions. [Operator Instructions]. In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions, including inflationary pressures on the company's business, financial condition and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's first quarter 2023 earnings release and its most important -- and its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's first quarter 2023 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures, was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thank you, Nicky. Good morning all, and welcome to Lamar's First Quarter 2023 Earnings Call. I'm quite proud of how our business in general and our industry have performed in what remains a challenging operating environment for media owners generally. Our first quarter unfolded largely as we expected, with consolidated revenue, expenses and adjusted EBITDA, all up slightly on an acquisition-adjusted basis. Strength in local sales offset weakness in national, particularly early in the quarter. . Activity in Q1, RFPs and buys from national customers picked up as the quarter went on and the tone from local customers remains largely constructive. However, as mentioned in the release, April saw some slight softening. May and June seemed to have firmed up, so Q2 should be fine. Meanwhile, we feel really good about the trajectory of full year expenses. And given that, we continue to pace towards the middle of our previously provided full year AFFO guidance range. Back to Q1. Categories of particular strength included services, amusements, entertainment and sports and restaurants. Real estate, predominantly local vertical, was relatively weak and insurance, which is primarily a national category, was also weak. Rate was up on both analog bulletins and posters while occupancy was slightly down. Our strongest regions were in the Atlantic and Gulf Coast and continue to trend that way. The Northeast, which is more reliant on national advertising, trailed our other regions. We added 71 net digital billboards in the quarter, bringing our quarter end total to 4,536 large-format units. Our digital faces generated about 28% of our outdoor revenue in Q1, up slightly from the same period in 2022. On a same board basis, digital was down 3.5%, so we're going to monitor that going forward, but we are still working toward a full year goal of 300 digital conversions. On the M&A front, the year is off to a quiet start. We closed 11 deals for about $14 million in the first quarter. We have some additional transactions in the diligence and closing stages, but continue to anticipate that this will be a modest acquisition year for us with spend in the $100 million to $150 million range. To sum things up, the macro outlook remains uncertain, but I am confident that our balance sheet, our portfolio of assets and most of all, our strong team of local operators have us positioned well for the balance of 2023 and beyond. With that, I will turn it over to Jay to provide more color on Q1. Jay?
Jay Johnson: Thanks, Sean. Good morning, everyone, and thank you for joining us. We had solid results in the quarter. We've made internal expectations on the top line and exceeded expectations for both operating expenses and adjusted EBITDA. However, due to the rising interest rate environment, AFFO declined year-over-year for the first time since the third quarter of 2020. In the first quarter, acquisition-adjusted revenue increased 1.5% from the same period last year against a difficult comparison, in which pro forma revenue growth was 18.6% in the first quarter of 2022. Our billboard regions came in essentially flat to up low single digits with the exception of the Northeast region, which contracted year-over-year as a result of its exposure to national advertising. Acquisition-adjusted operating expenses increased 2% in the first quarter, better than anticipated due to expense controls in our Billboard division as well as COVID-19 relief grants from our airport partners. Operating expense growth for the full year should be in the 3% to 3.5% range on an acquisition-adjusted basis. Adjusted EBITDA for the quarter was $198 million compared to $109.2 million in 2022, which was an increase of 3.5%. On an acquisition-adjusted basis, adjusted EBITDA expanded 80 basis points. Adjusted EBITDA margin for the quarter remained strong at approximately 42%. Notably, our margins in the quarter held contracting only 40 basis points from Q1 2022 and perhaps the most inflationary environment in the past 40 years. Despite the inflationary pressures, adjusted EBITDA margin was one of the strongest for our first quarter in recent history and approximately 400 basis points ahead of pre-pandemic levels. Adjusted funds from operations totaled $144.1 million in the first quarter compared to $151.9 million last year, a decrease of 5.2% and the result of cash interest increasing by $14.7 million over Q1 2022. Cash interest was a headwind of approximately $0.14 per share as diluted AFFO per share decreased 6% to $1.41 versus $1.50 per share in the first quarter of 2022. Local and regional sales grew for the eighth consecutive quarter increasing 2.3%. We saw our national business, which includes programmatic, declined by roughly the same percentage. Softness in our national sales began last year and carried into the first quarter, but the business appears to be moving in the right direction with a more modest decline in Q1 than in Q4. In spite of the national backdrop, we are encouraged by the resilience of local and regional sales, which accounted for approximately 81% of billboard revenue in the first quarter. On the capital expenditure front, total spend for the quarter was approximately $42.3 million, including $12.7 million of maintenance CapEx, and for the full year, we anticipate total CapEx of $185 million, with maintenance comprising $63 million. Volume in our acquisition pipeline has moderated, as expected, following 2 extremely active years on the M&A front. During the quarter, we closed on $14 million of acquisitions and should have a more regular level of activity in 2023, in which we redeploy free cash flow after our distribution in the form of tuck-in acquisitions. Now turning to our balance sheet. We have a well-laddered debt maturity schedule with no maturities until the revolving credit facility and Term Loan A in February 2025, followed by the AR securitization in July of that year, and we have no bond maturities until 2028. In July of last year, we originated a Term Loan A in lieu of senior notes, given fixed income coupons at the time. Although market uncertainty and volatility carried into Q1, the high-yield market has been more favorable for new issuance in 2023. As you may recall, we view the TLA as a bridge to a debt capital markets transaction. Should the high-yield market continue to improve, we will consider a bond issuance using proceeds to repay the Term Loan A in full. Such a transaction will bring our fixed rate debt to approximately 75%, the midpoint of our targeted range. Based on debt outstanding at quarter end, our weighted average interest rate was 4.8% with a weighted average debt maturity of 5 years. As defined under our credit facility, we ended the quarter with total leverage of 3.27x net debt-to-EBITDA, which remains amongst the lowest in the history of the company. Our secured debt leverage was 1.09x at quarter end, and we're comfortably in compliance with both our total debt incurrence and secured debt maintenance test against covenants of 7x and 4.5x, respectively. Despite the sharp rise in interest rates over the past year and based on current guidance, our interest coverage should remain at or above 6x adjusted EBITDA to cash interest. While we do not have an interest coverage covenant in any of our debt agreements, we do monitor this important financial metric. This healthy coverage exemplifies the strength of our balance sheet and the ability to service our debt. At the end of the quarter, we had approximately $663 million in total liquidity comprised of $33.5 million of cash on hand, $626 million available under our revolver and $3.6 million of availability on the AR securitization. We are reaffirming our full year AFFO guidance of $7.40 to $7.55 per share and are tracking to the midpoint of the range. Full year interest in our guidance totaled $167 million, which includes the 25 basis point rate hike announced this week. As I touched on earlier, maintenance CapEx is budgeted for $63 million, and cash taxes are projected to come in around $11 million. And finally, our dividend. We paid a cash dividend of $1.25 per share in the first quarter. Management's recommendation at the upcoming Board meeting will be to declare a cash dividend of $1.25 per share for the second quarter as well. This recommendation is subject to Board approval, and we will communicate the Board's decision following the Board of Directors' meeting later this month. The company's dividend policy remains to distribute 100% of our taxable income. And for the full year, management still foresees a 2023 dividend of $5 per share, also subject to Board approval. Again, we are pleased with this quarter's performance, particularly around expense control and look forward to executing on our operating strategy for the remainder of 2023. I will now turn the call back over to Sean.
Sean Reilly: Thanks, Jay. Let me provide a little color on some familiar operating statistics. A quick note on CapEx in Q1, slightly elevated due to an acquisition we closed late in the year last year and some spending we had to do to bring that inventory up to Lamar standards. Digital. I noted that our digital sign board was down 3.5% in Q1. As of now, we are not going to cause that to change our view on how many digitals we should deploy this year. We still believe we should deploy about 300. Obviously, we're going to monitor that closely, and we'll let you know if there's any changes there. On programmatic, real quick. Programmatic recovered in Q1, but -- and was up good solid double digits Q-over-Q. But as I mentioned, faltered in April, as did national. That April performance in national caused us to change our view slightly on how national was going to play out during the course of the year. If you recall, on the first quarter call, we felt like national would for the full year come in up around 2%. That view has now changed to flat to maybe down 1% for the full year. To wrap some numbers around that, that's 2% or 3% on about $400 million that we believe won't materialize this year. As we mentioned, though, we plan on making that up on the expense side. We're off to a great start controlling expenses, and we see that momentum continuing through the year. So with that color, I will open it up for questions. Nicky?
Operator:
Q - Jason Bazinet: I just had a quick question on that digital weakness that you called out. Is your sense that, that's like a harbinger of broader weakness given the shorter contract lengths on digital? Or if you sort of dig into that, is it more a function of specific verticals that happen to over-index on digital that just might be weak?
Sean Reilly: Right now, the color we're getting from the field, Jason, is the latter that, again, our team in the field doesn't believe that we should view that as a reason to slow our deployment. Now they are seeing what I would call jitters and caution amongst our customers. They're tending to commit here and buy a little shorter. That could have a little something to do with it. But again, we feel like given that that's our premium product and that the demand over a longer period of time has been so strong for it that we should continue to deploy. .
Jason Bazinet: Okay. Thank you.
Operator: [Operator Instructions] We will move next with Cameron McVeigh with Morgan Stanley. Please go ahead.
Cameron McVeigh: Hi. Thanks, guys. I'm curious if you have any more color on how advertiser demand has been trending per vertical, anything to call out there incrementally, either positive or negative? And then secondly, how are you guys thinking about pro forma growth in the second quarter? Or just any color on -- more color on how it's shaping out? Thanks.
Sean Reilly: Sure. Well, I'll start with the second point because we did highlight April. April was a little disappointing for us. And when we really dug into those numbers and solve the sort of, what I would call, firming up in May and June, we feel like Q2 is going to come in where it should. Verticals. So I singled out on the weaker side, real estate, which, again, it tends to be more local and insurance, which tends to be more national. Another one that we've talked about of late, of course, is gaming. That tends to be what's going on with the online gaming, not necessarily our traditional regional and national casino customers. So that has continued to tail off a little bit. On the strength side, service continues to be very, very strong. And really just carrying us right now, up 17% quarter-over-quarter for services, our largest category. Restaurants were also particularly strong, up 6% quarter-over-quarter. So those are the ones that highlight and the rest of the book is just sort of steady as she goes. Any other questions?
Operator: [Operator Instructions] We will move next with Richard Choe with JPMorgan. Please go ahead.
Richard Choe: Hi. I just wanted to follow-up a little bit on those questions. So given the comments, it looks like we should be looking for a down national in 2Q, and part of that seems to be really driven by the online gaming on the programmatic side. Is the non-national programmatic doing better? Or is this mostly the programmatic that's driving the national kind of softness?
Sean Reilly: So I can't pin it all on programmatic in terms of what's going on with our national book. If the definition of a recession is 2 straight quarters of declines, then in terms of national ad spend, we might be there. And by the way, programmatic is all national. We don't have local businesses accessing our programmatic channel just yet. So no, it really is -- it's sort of a few large national accounts that are sort of pulling back, I think, is what you're seeing.
Richard Choe: Got it. And on the local side, I assume the growth there is still pretty healthy, but just the comps are kind of tough given how strong it's been, it was last year and just kind of lapping that strength but anything in particular going on the local side?
Sean Reilly: In touching base with our local management, they're not seeing what they would deem a recession on Main Street. However, as I mentioned, they are seeing or feeling just a little bit of jitters, right, a little bit of caution amongst our local customers. They're still buying. And as you mentioned, we do have tough comps when it comes to local ad spend. But they're still buying. There just seems to be a little bit of caution out there. And nothing that is flashing red. But just, as I mentioned, just a little bit of caution on Main Street.
Richard Choe: Got it. Thank you.
Operator: We show no further questions at this time. I would like to turn the call back over to Sean Reilly for any closing remarks.
Sean Reilly: Well, thank you all for your time, and we will convene again next quarter. Thanks, Nicky.
Operator: And this does conclude today's program. Thank you for your participation. You may disconnect at any time.